Operator: Please be advised that this conference call is being recorded. Welcome to The North West Company Inc. Second Quarter Results Conference Call. I would now like to turn the meeting over to Mr. Dan McConnell, President and Chief Executive Officer. Mr. McConnell, please go ahead.
Dan McConnell: Hello, good morning. Thank you, and welcome to The North West Company second quarter conference call. I'm joined here today by John King, our Chief Financial Officer, and Amanda Sutton, our VP of Legal and Corporate Secretary. I'm going to start the meeting by asking Amanda to read our disclosure statement.
Amanda Sutton: Thank you, Dan. Before we begin, I remind you that certain information presented today may constitute forward-looking statements. Such statements reflect North West's current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and are subject to certain risks, which could cause actual performance and financial results in the future to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please see North West's annual information form and its MD&A under the heading Risk Factors. Back to you, Dan.
Dan McConnell: Thanks, Amanda. For today's call, I'll start by providing a brief overview of our second quarter results and then transition to talk about our company's outlook and journey ahead. Okay. Starting with the consolidated sales, we had a 6.8% increase in the quarter. Canadian operations spearheaded performance driven by same-store sales and a strong performance in the airline. These results offset softer performance in our international operations, particularly in general merchandise sales where inflationary pressures and lower government income support continued to result in a shift in customer spending towards essentials. More importantly, on top of sales growth, we're starting to see more torque in gross profit dollars as a result of 128 basis increase in our gross profit rate compared to last year. The increase in gross profit rate was due to changes in sales blend and a higher pass-through of cost inflation and retail prices compared to last year. As I have commented in the past, we continue to monitor and adjust our retail prices using a balanced approach, that is always with our customers' reality and wallet in mind while striving to maintain as low as possible negative impacts to margin and volumes. Additionally, we had a higher margin revenue mix on the airline as we continue to capture more third-party cargo and charter revenue on top of freighter servicing our stores. Another factor that affected our results in the quarter was the impact of wildfires in Northern Canada. As I mentioned on the call last quarter, wildfires had a devastating impact on the community of Fox Lake. This also included actually the destruction of our store. Thankfully, our associates and the community were evacuated safely. And this is because of the fire, we did incur a $3.7 million expense in the quarter related to the write-off of our store assets. Excluding this write-off and the effects of share-based compensation, expenses increased 7.9% and was mainly driven by inflationary cost pressures, the impact of new stores and foreign exchange on international operating expenses. Overall, the impact of these factors resulted in strong results in the quarter with net earnings increasing $5.7 million or 17.5% compared to last year. Okay. Let me unpack this and provide additional context. So starting with Canada -- sales in Canada, which, these increased in total by 7.4% and were up 7.2% on a same-store basis. Food sales increased 6.3% and general merchandise and other sales increased 9.8%. We attribute these results to three factors, inflation remains high, government income support payments increased and our good in-stock position, obviously, held us in good stead. The increase in government income support during the quarter was largely due to inflation relief payments from indigenous services of Canada and the federal government, including us of which was the grocery rebate that was issued back in early July. Our in-stock position is in good shape and has enabled us to capture additional sales, particularly in motorized, which was driven by same-store sales gains and the acquisition of Nickel City Motors in Thompson, Manitoba, in the back in the first quarter. The other key factor worth noting is that North Star Air had another strong quarter with both top line and bottom line growth, and this is driven with the increase in third-party cargo contracts and higher charter passenger volumes. Switching to international operations. Total sales increased 2.1% and were up 1.3% on a same-store basis as the impact of lower government income support payments continued to be a headwind similar to last quarter. As mentioned on our previous call, the SNAP or Food SNAP payments in the US have decreased considerably when compared to last year as we lap over the COVID-19 top-ups. As a reminder, during the pandemic, there were large temporary increase in SNAP benefits ranging from about $95 and up to the maximum benefit allotted per family. This increased SNAP benefit expired in February, which combined with the impact of higher inflation, continues to negatively affect customer purchasing power and results in a shift in spending away from discretionary items and into food. As a result, same-store sales increased 2.4%, while general merchandise same-store sales decreased 9%. Our international operations teams are laser-focused on customer-driven actions to mitigate these challenges, including assortment challenges and targeted promotional activity. Now let me transition and expand on our gross profit results. We are seeing inflation and cost of goods increases, although at a more moderate pace when compared to the previous quarters. However, we are very close to monitoring certain parts of the supply chain where cost escalations happen on a vendor or a carrier level. Our teams continue to prioritize operational excellence to help mitigate the impact of inflation as we work with suppliers and transportation partners to help minimize cost escalation affecting our gross profit rate. That said, we are starting to see more torque in our gross profit, driven by 128 basis point increase in the gross profit rate as a result of the changes in sales blend that I mentioned previously and a higher pass-through of inflationary cost increases, which is coming through in retail prices compared to last year. At this point, let me make a few remarks on inventory. Inflation continues to affect inventory levels. The impact of foreign exchange on the translation of international operations inventory is also a factor. As I previously noted, we have a higher general merchandise inventory in Canada compared to last year that’s mainly concentrated in motor sports, snow machines, ATVs, boats and motors. This strong in-stock position helped drive sales during the quarter as demand shifted as a result of the increase in income support. Given the durability of these items and the relevance they have in the communities we serve, we expect to sell-through these items. The strong in-stock position will also help meet expected increased consumer demand from water settlement payments, which are anticipated to hit our markets latter into this year -- part of this year or early next year. In summary, we are adjusting our ordering where needed as we continue to calibrate our inventory levels based on current demand with particular emphasis on our international banners, given the sales trends highlighted earlier. Okay. Moving on to expenses. Let me start by saying that for North West, cost control is our top priority, and we are making progress through our operational excellence focus to help offset inflationary cost pressures. That said, the increase in expenses in the quarter was largely driven by cost inflation on staff and utilities and the new store expenses. The impact of foreign exchange rates on the translation of our international operations expenses was also a factor. Our focus on cost control is the key area as we continue to push as we look to drive more productivity and efficiency within our cost structure. This is a good time to talk about some of our strategic operational efficiencies initiatives in our journey ahead. The executive team and all our leaders across the organization are laser-focused on reinforcing policies and procedures, both at store and corporate levels to control expenses and enhance our productivity. As noted last quarter in my AGM remarks, we are excited about our journey ahead and our strategic direction. Our goal, drive meaningful productivity and efficiency gains for cost savings in order to reinvest for faster and more sustainable growth for optimizing margins and delivering meaningful ESG outcomes. We continue to identify opportunities to unlock value and drive bottom line performance gains through our focus on operational excellence. For example, this includes initiatives concentrating on enhancing store labor planning across the network, optimizing our transport modes across land, air and sea to mitigate freight cost increases and reducing shrink and funding operating expenses savings. Additionally, we are making changes to our assortment which will help drive volume in terms of higher demand and higher margin items our customers want. To support these efforts, we are developing our analytical capabilities across the business to drive data-driven decision making. In terms of the outlook for the remainder of the year, overall, we expect to have a more normalized gross profit rate as inflation starts to moderate and we lapped the negative impact of the ramp-up in inflation on our gross profit rate last year. That said, there is uncertainty related to the economy and the impact of inflation, which may negatively impact sales blend and gross profit rates. In our international operations, we're up against the impact of a higher permanent fund dividend in Alaska last year and the ongoing shift in consumer spending from discretionary items towards food. In our Canadian operations, we are closely monitoring the impact of wildfires, which have resulted in the evacuation of some communities and supply chain disruption in other communities. On the upside, our strong in-stock position will help us meet the expected increase in our customer -- consumer demand resulting from the water settlement payments anticipated and issued, again, I said later in '24 -- sorry, later this year or early 2024. So closing things off, I'd say here at Northwest, we're committed to making a positive impact on the communities that we serve. In spite of inflation, pandemic, wildfires, typhoons and other externalities that may be -- temporarily affect our business, our associates continue to rise to the challenge and deliver on our commitment to the communities we serve. This unwavering commitment is seen throughout our company and is something that continues to make me proud of being part of this organization. With that, let me open it up for any questions that you might have.
Operator: [Operator Instructions] The first question is from Michael Van Aelst, TD Securities. Please go ahead.
Unidentified Analyst: Hey, guys. It's [Evan] (ph) in for Mike.
Dan McConnell: Hi, Evan.
Unidentified Analyst: So just the first question, I guess, on the sales mix. So you had pointed out to sales blend improvements in both Canada and international. Can you talk a bit about where the improvements are coming from in both divisions, particularly in international where general merchandise sales decreased and food sales increased and would have thought that would have led to an unfavorable sales blend?
Dan McConnell: Okay. Evan, just to clarify your question because I think you indicated that we had -- we didn't -- and you mentioned it at the end. So our sales blend was actually positive in Canada with both food and general merchandise. But in the international division, we actually had a reduction in our general merchandise sales, and it was still along the same trends of previous quarters, stronger in the food categories.
Unidentified Analyst: Thanks. And have you seen -- like within food, have you seen an improved sales blend and same thing within general merchandise?
Dan McConnell: Okay. I would say, in Canada, we did see some more favorable food blend improvements, just for the reasons that I mentioned just recently or just earlier. But in the international division, I would say it was pretty consistent with previous quarters.
Unidentified Analyst: Okay. Great. Thanks. And then on the grocery rebate, what would be your estimate of what it contributed to same-store sales in Canada in the quarter?
Dan McConnell: You know what, we don't typically venture into that because it's pretty hard to track. But we do know that it was one of the contributing factors to provide the positive impact for some of our sales momentum shift.
Unidentified Analyst: And do you think that people had time to spend at all in the quarter? Or will there be some impact [indiscernible] from next quarter?
Dan McConnell: No, I don't think they spent it all, Evan. I think they have -- they still got some that we're seeing kind of trickle into this quarter as well.
Unidentified Analyst: Okay. So next, I just want to dig in a little bit on the gross margin rate. So in the fourth quarter of 2021, you had a gross margin rate of 31.9%. And at that time, I think you believe that it was roughly the right level long term, given your balanced approach. And then throughout 2022, each quarter, you're basically around that level, plus or minus 10 bps or so. And then now you just reported 33.1%. So do you now believe that, that 31.9% is too low based on your current approach? And if so, what has changed?
Dan McConnell: Okay. So just to kind of circle back to your comment, I think in -- so let's talk to -- speak to Q1. We anticipate -- we felt that it was -- we were too low. So our efforts were to obviously try to improve mix and find different ways in which we can bring it up. Where we're at right now, we're hoping that we can maintain. So I would say this is probably more in the realm of normal than an expectation than it would have been last quarter.
Unidentified Analyst: Okay. So just to reconcile that with some of your comments in the outlook statement, you point to inflationary cost pressures in the near term. So based on that comment, you're still expecting gross margins to be at roughly the current level, assuming no further ramp-up in inflation? Would that be a good thing?
Dan McConnell: I think that's a pretty good summary. Yeah, I think it's a good summary. Like, this is our expectation. Our efforts are put towards trying to maintain this. However, you know it's a volatile kind of industry and economic environment currently. So we anticipate and are using our best efforts in order to maintain it. But there is some -- there has been and is known to be different inflationary pressures that come up. The one that we're probably keeping an eye on fairly closely is not as much as in the freight on the ground and on the sea, but more so in the air. So we see there's been some cost inflation and some cost pressures in that area. But we're doing our best to try and mitigate those the best we can. So to answer your question, our efforts are in line to try and stabilize this rate that we're at right now.
Unidentified Analyst: Okay. Great. And then I guess one last question. So in terms of the wildfires in the north. So as it stands now, assuming there's no further fires or evacuations, how much of an impact do you expect to see in Q3 profits? And other than the Fox Lake store, is it all isolated in Q3? Or is there anything beyond that?
Dan McConnell: Isolated, you mean Q2? Or do you -- or is it -- like you said -- or is it isolated to Q2? Or do I foresee it having further impact into Q3 and Q4? Is that your question?
Unidentified Analyst: Yeah. So other than the Fox Lake store…
Dan McConnell: Yeah, got you.
Unidentified Analyst: Is the impact from the wildfire is going to be isolated in Q3? Or is it going to extend beyond assuming that there's no further wildfires?
Dan McConnell: Okay. Yeah, I would say that that's an accurate comment that it will be isolated in Q3.
Unidentified Analyst: Okay. And any rough estimate as to what the impact on profits would be in Q3?
Dan McConnell: No, not right now.
Unidentified Analyst: All right. Thanks so much guys.
Dan McConnell: Thanks, Evan.
Operator: Thank you. [Operator Instructions] Next question is from Kunaal Gidwani from CIBC. Please go ahead.
Kunaal Gidwani: Hi, thanks for taking my question. I just wanted to follow up on your commentary where you discussed higher pass-through inflationary costs in the quarter. And I wanted to know if you would be able to discuss that in a little bit more detail, specifically, is this a reflection of your competitors taking price or your own work around price optimization or a bit of both? Thank you.
Dan McConnell: I think that's very astute. You’re right, it's a bit of both. The pressures, as you know, have been high, and our competitors are definitely taking more of the cost increases as well as some of our internal efforts to try and mitigate the impact on our customers. That's correct.
Kunaal Gidwani: Okay, that's great. Thank you, I'll pass it on.
Dan McConnell: Thanks.
Operator: Thank you. And there are no further questions registered at this time. I would now like to turn the meeting over to you, Mr. McConnell.
Dan McConnell: Okay. Well, thank you very much, operator. And I think with that, we will conclude the call.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.